– : 
Stephan Engels: Good morning, everyone. Welcome to Commerzbank’s Conference Call for the Third Quarter. Ladies and gentlemen, in the third quarter of the transition year, 2013, Commerzbank made again good progress. Group and core bank revenues were almost stable quarter-on-quarter despite the accelerated rundown of non-core assets. In Private Customers and Mittelstandsbank, we saw a slight uptick in loan growth while revenues in Corporates & Markets followed the overall market trend. Risk provisions for the Group were in line with our previous guidance. The core bank’s portfolio quality remained sound with the non-performing loan ratio below 2%. Provisioning in non-core assets was consistently prudent. Group operating expenses were below €1.7 billion for the second consecutive quarter. Strategic investments could be compensated by ongoing sustainable efficiency measures and a balanced investment approach. Overall, our core activities generated €375 million in Q3 2013. The Group’s operating profit improved quarter-on-quarter to €103 million. The shareholders net result almost doubled to 77 million after €43 million the quarter before. The net result for the first nine months stood at €26 million. Please bear in mind that this result is affected by restructuring costs of €500 million and amongst others by charges on the sale of our UK commercial real estate portfolio. These two effects only already amount to a one-off burden of more than €650 million. Looking at Commerzbank’s risk profile, we made comprehensive progress in de-risking and disposing of non-core assets. At the end of Q3, the portfolio of non-core assets amounted to €124 billion, already overachieving our year-end rundown target. During the last three months, the exposure default in NCA was reduced remarkably by €12 billion, thereof €5 billion through the sale of our UK commercial real estate portfolio. Additionally, our exposure in commercial real estate shrank mainly in Germany and the U.S. Public finance was reduced by €3 billion while ship finance declined by another €1 billion. Since the beginning of 2013, we reduced the portfolio by €27 billion or 18%. More important, we shrank the higher risk cluster of our commercial real estate and ship finance portfolio by 44% to now €8 billion, a remarkable success, further increasing Commerzbank’s stability. We started the rundown of our non-core portfolio at an early stage. This decision was uncomfortable but necessary and it is now paying off. Our capital and leverage position improved significantly. At the end of the third quarter, our Basel 3 ratio stood at 8.6% under fully phased-in assumptions and at 11% under phased-in, clearly exceeding all current regulatory thresholds. Our phased-in ratio also makes us feel well prepared to keep up with the hurdle of 8% for the upcoming ECB review. In addition, we continued our foresighted and comprehensive balance sheet management, reducing total assets to under €600 billion for the first time since 2006. This is a reduction of 7% quarter-on-quarter and 12% year-on-year. Thus, our CRD4 leverage ratio under phased-in assumptions is now at 4.1%. Now let me give you some more color on our achievements since the Investors Day a year ago. Our core segments are dedicated to focused growth, especially our new retail banking strategy in Private Customers is bearing first fruits. The new brand position, a modern branch concept, innovative products and services create a unique value for our clients, leading to a record gain of 180,000 net new customers since the beginning of this year. The number of accounts in mortgage loans volumes grew accordingly. Customer satisfaction is constantly increasing, reflected in a record breaking net promoter score of 36% and top ranking in external quality contests. Mittelstandsbank is well positioned. We are the true long-term strategic partner for the German Mittelstand. By streamlining our processes, we freed up capacity for sales and advice, thereby further strengthening our leading market position in Germany. Credit volume from our Mittelstand clients for example grew by 5% year-on-year. In addition, our international expansion strategy is progressing. In 2013, we opened two international offshore trade processing centers and we are about to open five new branches in Switzerland. In Central and Eastern Europe, BRE Bank has a very strong footprint. We increased our customer base to 4.3 million and the launch of our new award-winning mBank platform will even further support client acquisition. In Corporates & Markets, our modern client-centric business model supported performance during the first nine months of 2013. In addition, efficiency programs realized cost savings of €46 million each year reducing the burden of our increased regulatory requirements. Thereby, capital efficiency including Basel 3 was maintained at a high level. Broad cost management was our second focus; thus compensating for strategic investments and collectively agreed wage increases. The reduction in headcount is progressing as envisaged and with respect to a balanced cost income ratio we follow reasonable investment approach controlled by the Bank’s investment committee. Hence, our quarterly cost run rate stood at €1.7 billion in 2013. For the full year 2013, costs should not exceed €7 billion. Lastly, we are constantly optimizing our capital structure. The final repayment of the silent participations of the federal government and Allianz in May 2013 was an important step. In addition, total risk weighted assets were reduced by €11 billion year-to-date, mainly in non-core assets and Corporates & Markets. As said, the reduction of NCA is progressing ahead of target. Year-on-year, we have seen an impressive de-risking of €36 billion, leading to a sizeable net capital relief of €278 million year-to-date. Hence, our value preserving rundown strategy proves to be the right choice. So to sum it up, we are making visible progress step by step in implementing our strategic agenda. However, the benefits of the strategic measures need some more time to filter through to our results completely. Slide 5 summarizes the key facts at a glance. As such, please turn to slide 6, showing the development of the Group’s quarterly transition in detail. The Group’s operating results for the third quarter amounted to €103 million after €78 million in Q2 2013 and €208 million in Q3 2012. Revenues at €2.3 billion were almost stable quarter-on-quarter despite the closing of the sale of our UK commercial real estate portfolio and the rundown of NCA. Positive developments especially in Mittelstandsbank and Private Customers compensated challenging conditions in fixed income and commodity markets. Compared to last quarter, LLP of €492 million benefitted from lower provisions in NCA commercial real estate. Expenses were again under tight control at below €1.7 billion, reflecting consequent cost management. After tax charge and minorities of €26 million, the net result for Q3 stood at €77 million for the Group. To give you more transparency on Commerzbank’s fundamental underlying operating performance, we included slide 7 and 8. Quarter-on-quarter and year-on-year, the impact of non-operating items such as the own credit spread and credit debt valuation adjustments did not override the underlying operating performance. Therefore, let’s have a closer look at the unadjusted revenue in the core bank as shown on slide 9. Quarter-on-quarter, revenues were almost stable at €2.23 billion despite seasonal weakness in capital markets. Successful sales initiatives in Private Customers and the German Mittelstands had positive effects while with a slight increase in loan volume while margins were stable. Revenues in Mittelstandsbank and Corporates & Markets included the effect from the prepayment of a corporate loan of €167 million. This partly compensated for a shortfall of revenues in Corporates & Markets due to the dryout of transactions during the U.S. budget crisis, especially in the last weeks of September. Core revenues also included additional provisions on trust preferred securities of Hypothekenbank Frankfurt while the positive swing in credit/debit valuation adjustments of €78 million had a compensating effect. As outlined on slide 10, operating expenses in the core bank were again under control. Year-on-year costs were reduced by 2% to €1.6 billion since measures focusing on long-term process and efficiency improvements are ongoing. Quarter-on-quarter, cost levels were stable despite collectively agreed wage increases and higher investments in our brand positioning, IT infrastructure and employee qualification. As envisaged, major measures of our strategic agenda have successfully been initiated. In the light of a comparatively moderate economic environment and with respect to a balanced cost income ratio, we follow a reasonable approach selecting investments cautiously. Be assured, we are committed to keep up with our strong track record in cost management. As shown on slide 11, we provisioned €249 million for the core bank in Q3 2013 after €190 million in the quarter before. LLP level in Q3 was driven by Corporates & Markets after benefitting from releases in the quarter before. As before, we continue to manage our risks prudently. Our portfolio continues to preserve its good quality. Risk densities in the core bank remained on a low level of 29 basis points. The default portfolio was stable quarter-on-quarter, with the low non-performing loan ratio of 1.8%. For a more detailed glance at the operating performance of the individual segments, please turn to slide 12 starting with Private Customers. As said last quarter, PC is well on track in implementing the strategic agenda. The number of net new customers, especially in our Filialbank is growing constantly. Our new account models, the open mortgage loan platform and improved online capabilities are convincing. Hence, customer satisfaction improved strongly. These developments indicate that we are engaging the levels of quality, growth and profitability in the right order. Year-on-year, we clearly see the first impact of our strategic measures, especially in the stable net interest income despite lower interest rates. However, quarter-on-quarter, the revenue level of €825 million was marginally influenced by market uncertainties leading to lower securities business in Filialbank. Nevertheless, payment transaction accounts and new retail mortgage loans in Filialbank grew significantly. Revenues from direct banking were again stable at a high level with €83 million. Here again, new customers doubled and the number of accounts grew by 45% quarter-on-quarter. Revenues from Commerz Real increased again quarter-on-quarter due to higher commissions from real estate transactions as well as higher fees from fund management. Despite strategic investments in our brand, product and services offered, operating expenses were flat at €752 million. While cost discipline will continue, we still expect an increase in the last quarter. All in all, Private Customers finished the third quarter with an operating profit of 42 million after 35 the year before and €54 million the quarter before. So far, we are pleased to see that the segment is on course. The journey ahead is still long, but these results are promising. Please turn to slide 14. Following our leading position in Germany, revenues from direct customer business were stable in all business areas in Mittelstandsbank. Loan volumes with the German Mittelstand increased again while Großkunden & International as well as Financial Institutions were broadly stable. Total revenues increased quarter-on-quarter notably by more than 13% due to a prepayment of a corporate loan and valuation effect of counterparty risks in the derivative business. Looking at the LLP development, provisions declined after high provisions for single cases in Q2. For the third quarter, we booked a charge of 106 million, which is €41 million below the previous quarter. Expenses were flat despite ongoing investments in our branch product and services. All in all, the operating profit stood at €349 million after €216 million the quarter before and 395 million the year before. Central and Eastern Europe again contributed a satisfyingly strong result. The Q3 operating result stood at 63 million after €52 million the quarter before. Revenues increased by 8%, driven by the net interest income which benefitted from active management of interest margin and stable volumes. LLP and costs were broadly flat. However, we expect the slight cost increase in Q4 due to the implementation of the new brand mBank replacing the BRE brand. As shown on slide 17, revenues in Corporates & Markets were affected by seasonal effects and unfavorable market conditions, especially in the fixed income and commodity markets. Here the U.S. debt crisis was the main driver. Hence, the operating revenues excluding the effects from OCS and credit/debit valuation adjustments decreased quarter-on-quarter by €104 million to €484 million. While costs were flat, provisions increased by 62 million to a normalized level of €43 million for the quarter. The reported operating result in Q3 amounted to €85 million. Excluding the OCS effect of minus 6 and the net CVA/DVA effect of minus €19 million, the operating results stood at €110 million. Let’s have a look at the divisional split of Corporates & Markets on slide 18. The revenue contribution of Corporate Finance increased significantly quarter-on-quarter and year-on-year to €221 million due to the prepayment of a corporate loan. The underlying operating performance of all Corporate Finance business lines was stable. Here we strengthened our position in the market of subordinated insurance bonds and let managed the first perpetual benchmark tier 1 transaction in the euro market since 2007. Revenues in equity markets and commodities at €103 million were stable when compared to previous year. Quarter-on-quarter, revenues declined especially in commodities after an exceptional strong Q2 due to the challenging market making conditions and seasonally driven lower client activity levels. The operating performance of fixed income and currencies at €122 million decreased driven by difficult market conditions due to the U.S. debt ceiling and tapering discussions hampering FX and credit trading while interest rate trading improved. Revenues in credit portfolio management at €64 million were lower, driven by lower loan volume and a lower contribution by structured credit legacy. Now let’s have a closer look at non-core assets as outlined on slide 19. During the last three months, we saw again a notable portfolio reduction in NCA. The exposure default was reduced by €12 billion including the sale of Commerzbank’s UK commercial real estate portfolio. Thereby, the successful rundown resulted in a net capital relief of about €208 million in Q3 and €278 million year-to-date. Accordingly, total provisions decreased quarter-on-quarter by €104 million to €243 million, driven by lower needs in commercial real estate. LLP for ship finance at €170 million are higher quarter-on-quarter. Looking ahead, we expect LLP for shipping to remain on the level of 2012. Some industry peers are already seeing first tendencies of revival especially in certain market segments. Although we are also seeing first signs of decreasing default volumes in shipping, we are however holding on to our cautious outlook. Revenues in NCA were stable quarter-on-quarter, although the net interest income was affected by the rundown of the interest earning assets. After all, NCA finished the quarter with a loss of €272 million. As shown on slide 20, we are successfully continuing our successful de-risking and asset reduction strategy. Throughout the last 12 months, we worked hard and successfully on reducing assets and NCA. Within the last year, the exposure at default shrank by €36 billion. Non-performing loans were reduced accordingly by more than €1 billion. During the third quarter 2013, the EaD was reduced strongly by €12 billion, thereby the portfolio declined by 9 billion in commercial real estate, by 3 billion in public finance and by €1 billion in ship finance. At the end of the third quarter, we already overachieved our year-end reduction target of €125 billion. Thereby the size of our ship finance portfolio is already close to the original 2016 target of 14 billion. However, as promised, de-risking and asset reduction will continue to be one of Commerzbank’s main focuses in the quarters and years to come. An updated mid-term target 2016 will be presented to you at our annual press conference. On slide 21, you find more details on our commercial real estate and ship finance portfolio. To keep it short, since December 2012, we reduced the higher risk cluster of our commercial real estate and shipping portfolio from more than €14 billion by 44% to now €8 billion. At the end of this quarter, only 18% out of the €45 billion has to be considered as bearing higher risk. Slide 22 shows again the significant progress in reducing our NCA exposure. Since December 2008, we reduced the exposure by an incredible €165 billion, almost 60%. Here we have not only delivered faster on our targets but as promised, managed to do so in a value preserving and capital accretive way. In the first nine months of 2013, we delivered the NCA portfolio by €27 billion with a positive capital contribution of €278 million. This highlights that the segment non-core asset bundle is not toxic but non-strategic assets still being of interest for strategic buyers in the market. For sure, it also emphasizes that fair pricing of these assets in our books. The development of our risk and capital position is outlined on slide 23. At the end of Q3, total assets stood at €593 billion. This is 12% below last year and 7% below last quarter. Year-on-year and quarter-on-quarter risk weighted assets came down by 4% to €197 billion, mainly due to lower credit risk following the rundown of NCA. All in all, Commerzbank’s core tier 1 ratio under Basel 2.5 stood very comfortably at 12.7%, clearly exceeding all current regulatory thresholds. Slide 24 gives you an impression of the effects of Basel 3. As you can see, Commerzbank’s core tier 1 ratio under Basel 2.5 stood at 12.7% as at the end of Q3 2013. Considering the estimated net effect of Basel 3 under phased-in assumptions, Commerzbank’s pro forma common equity tier 1 ratio would amount to 11%, thereby standing comfortably above the required EBA threshold of 8%. Under Basel 3 fully phased-in, the pro forma common equity tier 1 ratio would stand at 8.6%. Our leverage position is shown on slide 25. We are still strong on this front since our foresighted and comprehensive balance sheet management is paying off. At the end of the third quarter, our leverage ratio under CRD4 fully phased-in stood strongly at 3.2%. Under phased-in, this ratio even increases to 4.1%, both clearly exceeding the current proposed minimum without additional measures. Looking ahead, we continue to be committed to further reduction of the relevant balance sheet exposure, giving us flexibility to comply with various thresholds. Let me give you also a glance at our funding history and outlook as illustrated on slide 26. For the first nine months, Commerzbank placed €1.9 billion of senior unsecured funding with focus on private placements. Additionally, we successfully issued USD1 billion of lower tier 2. We also issued €1.5 billon of secured funding including Commerzbank’s first public sector and mortgage loan fund brief to refinance our core activities. As always said, ongoing asset reduction and a strong deposit base limit our funding needs in 2013 and the years ahead. Unsecured capital market funding will only be taken on an opportunistic and flexible basis to support franchise demand and as funding diversification. I would like to conclude my presentation by giving you a brief outlook on slide 27. First, our outlook for 2013 remains unchanged. Revenues will remain under pressure due to low interest rates and the accelerated rundown strategy in NCA. Second, we confirm our LLP guidance for the full year 2013. Compared to 2012, we expect provisions to increase due to the normalization in the core bank and the accelerated rundown in NCA. Third, for the full year 2013, costs will not exceed €7 billion since further strategic investments will be funded by cost efficiencies. Fourth, we are confident that the rundown of non-core assets will continue. The EaD and NCA will be bought down below the current €124 billion by the year-end 2013 and significantly below €90 billion by the end of 2016. Since we are making great progress on this front, we will give you an update on these targets at our annual press conference. Fifth, as we have done before, we promise to continue to focus sensitively on capital. Commerzbank’s Basel 3 ratio under phased-in assumptions of currently 11% is expected to remain comfortably above 9% at all times. Our fully phased-in ratio improved to 8.6 and is on a good way to reach 9% by the year end 2014. Ladies and gentlemen, thank you very much for your attention. I am not looking forward to answering your questions.
Operator:  (Operator Instructions) The first question comes from Johan Ekblom from Bank of America. Please go ahead with your question.
Johan Ekblom – Bank of America: Thank you. Two questions if I may. Firstly, on the cost side, I mean you’ve – I think this is the third quarter where you’re clearly coming with costs indicating further progress in cost cutting versus what your plan laid out last year. You keep on reiterating guidance of below 7 billion this year, but as you look into next year, how should we think about incremental savings versus the need for investments? And is there any reason why below 7 should not be the target also for the years to come or is maybe scope to go lower than that? And then secondly, just on the NCA, you clearly highlight that you’ve once again beaten expectations in terms of the pace of the rundown and I just want to know, historically, you’ve said that you are constrained by the liability side of the NCA business in terms of how fast you can actually run it off. Now you’re saying you’re going to come up with a new target with the full year result. How should we think about the potential to run off that business? What’s the sort of upper limit in terms of speed?
Stephan Engels: Yeah, let’s kick off with the cost side. If we kind of flip back to the end of last year, our assumption for 2013 was or our promise was that we would stay below or around 7.2 billion for 2013. We have now improved that as to the 7 billion number that I’ve just mentioned and that is basically due to the fact that some of the rundown or the layoffs partly has already been achieved this year. The other question whether that should be the run rate for the upcoming years is something I would think I would probably try to answer during our annual press conference. But as a basic assumption, I wouldn’t necessarily believe that the costs are jumping up again next year. With respect to the NCA pace, there has been a lot of discussion around the rundown of NCA whether we are only harvesting the low hanging fruit, that is one of the reasons why I have mentioned that if I believe the low hanging fruits. We have at least harvested 160 billion of them since we are starting to run this down. Clearly, there are certain limitations on the funding side that you have to observe and that you have to manage. At the end of the day, as long as you can translate it into a cost then there is a solution to the problem. So from that point of view, yes, there are limitations that you need to work on. If you can factor it into the deal, it can be solved.
Johan Ekblom – Bank of America: And would you be willing to quantify them? I mean you said you will do it with the full year result, but are we talking about material changes to the current guidance?
Stephan Engels: You’re talking about the cost guidance?
Johan Ekblom – Bank of America: No, on the NCA budget.
Stephan Engels: Yeah, I think we’ll leave that for the annual press conference, once we have really completed our asset planning exercise.
Johan Ekblom – Bank of America: Understood. Thank you.
Stephan Engels: Thank you.
Operator: The next question comes from Johannes Thormann, HSBC. Please go ahead with your question.
Johannes Thormann – HSBC: Good morning everybody. Johannes Thormann, HSBC. Three questions, if I may as well. First of all, could you quantify the one-off amounts and the investment result from this bond transaction and the other result from the Eurohypo Hybrid? Secondly, on the underlying net interest income, can we expect as Q3 also saw very weak net interest income and NCA that this is an underlying level now or do you expect a further deterioration in NCA on a quarterly base and then also on the Group level, or do you have offsetting effects? And last but not least, concerning your fully phased-in leverage ratio, you showed us that you have a 7% total assets decline quarter-on-quarter but we have zero improvement of the leverage ratio. Could you explain why this happened, because normally you would have expected at least an improvement to, I don’t know, 3.4%? Thank you.
Stephan Engels: Yeah, maybe let’s first start off with the leverage ratio under Basel 3, under the fully tied in – you are right, there is no difference under the phased-in; we improved by 0.1. The reason is that the leverage ratio has a number of rules and regulations which allow you to net certain positions. So as long as you reduce your balance sheet only on these positions that are netted already, there is obviously no effect. The main effect so to speak here in this quarter is also driven by the NCA runoff because we have credit risk really leaving the balance sheet. That is why there is a difference between the balance sheet movement and the CRD4 movement. With respect to the net interest income and NCA, the basic assumption obviously has to be that as long as we run the portfolio down, the net interest income will go down accordingly. Nevertheless, to put it a little bit into perspective, Q3 net interest income includes burdens from the final closing of the UK portfolio deal, somewhere in the range of 30 million. Then what is the effect of the prepayment, as outlined, it is €167 million in terms of revenue stream and that is evenly split between Corporates & Markets and Mittelstandsbank. The trust preferred securities on Eurohypo which we by the way settled the dispute I think yesterday finally, somewhere is in the range of €60 million.
Johannes Thormann – HSBC: Okay, thank you very much.
Operator: The next question comes from Britta Schmidt from Autonomous. Please go ahead with your question.
Britta Schmidt – Autonomous Research: Yes, hello. I have a question on the Basel 3 fully loaded numbers which I think may also explain the lack of movement in the leverage ratio. You’ve shown a very significant risk weighted asset decline which also translated into Basel 3, but we see higher deductions. The deductions on slide 24 of 2.4 billion used to be 1.9 billion. Maybe you can tell us a little bit what has changed there, whether it’s a methodological change, whether some of the inputs have changed. And the second question I have is with regards to the upcoming AQR and stress tests, most of the banks have already looked into their portfolio, some of them are reasonably kind of concentrated in terms of number of exposures to look at. Could you tell us where you are in that process and with regards to the loan loss provision guidance, if this quarter was underlying better, you’ve left yourself a little bit of headroom potentially for a 4Q topup. Is this how we should interpret the constant loan loss provision guidance, the unchanged loan loss provision guidance that underlying could have been better but you leave yourself a little bit of room?
Stephan Engels: With respect to the capital ratios, it is pretty clear that the capital ratios since all the regulations have not been fully issued and the EBA still is in the process of issuing so-called regulatory technical standards to that extent. But you have to take certain assumptions both on the valuation of certain positions as well as on the netting of certain positions. We have seen a positive effect in the Basel 3 phased-in capital mainly due to the fact that it is now pretty clear that additional tier 1 that we had assumed not to be grandfathered will be grandfathered under the phased-in rules. We have on the other hand, taken a somewhat more prudent and cautious approach than in the previous quarters on the Basel 3 fully loaded ratio in that some of the papers issued by the EBA seem to indicate that the netting of certain positions is not as previously assumed. So let’s say the cautious assumptions on the one hand and the less cautious assumptions on the other hand have kind of netted out here at this level and that’s why we still believe that this reflects the position as of now accordingly. With respect to the AQR, as already said in the presentation, if you take the 11% phased-in ratio and compared with the 8% threshold that has been communicated, that leaves a let’s say 6 to 7 billion buffer between these two numbers. Now the AQR number is the one part that will additionally be a stress test which we so far don’t know, neither how the stress test will work nor what the hurdles will be. So from my point of view, I think keeping on to the consistent, prudent valuations that we have done so in the past is the right way to do. We all know that the hype and the discussions are mainly around the so-called risk portfolios. Everybody assumes that ships is one of them and I can only reiterate what I’ve been saying for I think now 4 or 5 or 6 quarters, we will remain cautious on shipping, we will be provisioned in shipping in 2013 at the level of 2012. And so far I’m still convinced that we will see the same level of provisions for shipping in 2014. If then at the end the risk developed is slightly better, accordingly my coverage ratios will be better than before, which is by the way a development that you can already see if you compare the ship’s non-performing loans at the end of ’12, they are slightly higher than now. So we have reduced them. And secondly, our coverage ratio with GLLP and LLP has gone up from below 30 to currently around 36%. I think that’s the prudent way to manage and that’s what we will do going forward.
Britta Schmidt – Autonomous Research: Thanks. Can I just follow up on the deductions? When you netting of provisions, what type of provisions do you refer to?
Stephan Engels: That is for example a position that is called prudent valuation where you have a – we are now getting very technical, where you have to assume which part of your unrealized losses have to be deducted from capital for example and on the other hand, there is a discussion whether that can be offset by certain nettings between CVA incurred since inception and unexpected loss shortfalls. I know that I’m getting very technical here but that is unfortunately a fact and again, we are talking about rules that come into fully effect in 2019. So you are to a certain extent – you need to take certain assumptions. Again, as I said, I hope that we have taken the right mix and so far it seems to be okay.
Britta Schmidt – Autonomous Research: Understood. Thank you very much.
Operator: The next question comes from Jeremy Sigee from Barclays. Please go ahead with your question.
Jeremy Sigee – Barclays: Good morning. Three questions please. Firstly, I saw some comments on Newswires that you were saying you’re well prepared for the ECB review, have capital in excess of the ECB threshold. I didn’t hear that. I don’t know if I missed that in your opening remarks, but I wonder if you could just clarify those comments, what you mean and what you perceive as being the criteria et cetera. And then secondly, just a couple of questions on your guidance. The implication is that costs could be as much as 1.9 billion. I’m sure you’re intending less than that, but I just wanted to see how much below 7 billion you think you can be for the full year. And then finally, on revenues, you’re commenting on revenues continuing to be under pressure, which I think is understandable. But I just wondered if you could talk a bit more about that in terms of how much more downside, what are the main negatives still coming through and what offsets you believe you have to start to improve things?
Stephan Engels: Yeah, with respect to the ECB comprehensive assessment, again, I think we need to clearly separate the two pieces of it. One is the AQR which is the first step and the second part is the stress test. With respect to the stress test, we don’t know neither what the stress test will work or look like nor do we know what the thresholds will be for the AQR, the asset quality review. The ECB EBA have released that the threshold will be 8% Basel 3 phased-in. If you take this 8% and compare it with our current 11% that we have under phased and this sums up if you want to convert it into money, into a buffer of roughly somewhere between 6 and 7 billion. This is why besides that fact that we think that our assets are valued correctly would in case of need and again, I’m only saying in case of need, provide for my point of view for a good buffer. With respect to the cost guidance, I’m sure you understand this, I can only reiterate what I’ve been saying which is it will be not exceeding 7 billion. How much it will not exceed, we will see. In general terms, revenues in Q4 as we all know, will be under pressure, both from the interest rate side as well as from a certain seasonal effect as we all know. I guess the fourth quarter tends to be somewhat shorter in terms of business activity and as said also before, the asset rundown and NCA under the assumption that we also will see some of it in Q4 will again put pressure on the revenue stream here.
Jeremy Sigee – Barclays: I’m sorry, and then potential offsets on that? Anything you’re working on that you think can make a difference in the next quarter or two?
Stephan Engels: Yeah, to offset the developments of NCA within NCA obviously is next to impossible. We are and I’ve said that we are seeing good activity in especially PC and MSB. Whether that can grow as fast as we may rundown one or the other position remains to be seen. And again, there is a certain seasonal effect around Q4 which is an effect too.
Jeremy Sigee – Barclays: Okay, thank you very much.
Stephan Engels: Thank you.
Operator: The next question comes from Ronny Rehn, KBW. Please go ahead with your question.
Ronny Rehn – Keefe, Bruyette & Woods Inc.: Hey, good morning. A few questions left for me. On the asset reduction, could you just help us to understand the FX effect that there might be included in the quarter? Then in Eastern Europe, very strong performance at the NII, up I think 12% in the quarter. In BRE Bank itself it was only up 4%. So what was the delta here? And in the Mittelstandsbank, just quickly on the loan loss charges, you're running now 100 million or something like 40-45 basis points of exposure default. Is that kind of a new level that we should be looking for in the future? Thank you.
Stephan Engels: With respect to the foreign exchange effect on portfolio rundown, we are mainly talking, if anything, about ships here because that is normally U.S. dollar denominated. There has been a certain effect out of the FX but it’s small.
Ronny Rehn – Keefe, Bruyette & Woods Inc.: Small, okay.
Stephan Engels: So that is not the explanation for what has happened in terms of reductions. With respect to the Mittelstandsbank expected loss development – with respect to the LLP development, again, our interim reports provide for risk densities including expected loss levels and so far I’d say we’re seeing here the normal expected loss for the segment more or less. And again, in comparison to last year, it is not necessarily the increasing number of loan loss provisions that you see here. It is the dryout of loan loss provision releases that makes the difference to the previous year since in 2012, we reversed a lot of provisions that were taken during 2008 and ’09. With respect to the net interest income of BRE Bank, I’m not totally sure whether I can answer your question here completely. I’d rather refer you to the IR team here in Frankfurt.
Ronny Rehn – Keefe, Bruyette & Woods Inc.: That’s fine. Thank you.
Stephan Engels: Thank you.
Operator: The next question comes from Francesca Tondi from Morgan Stanley. Please go ahead with your question.
Francesca Tondi – Morgan Stanley: 
– :
– :
Stephan Engels: Okay. Let me try following. On the revenue stream in NCA is burdened by the final settlement of the UK icon deal. That is roughly a number of I’d call it somewhere between 30 and maybe 40 million.
Francesca Tondi – Morgan Stanley: And that is all in NII?
Stephan Engels: That is in NII. Yeah.
Francesca Tondi – Morgan Stanley: Perfect. Thank you.
Stephan Engels: The settle – or the provisioning for the Eurohypo trust preferred shares in reflected in SuK, in others and consolidation and they are also burdened the revenue. Then as disclosed, we have certain CVA/DVA effects which you can see in the presentations on the segments mentioned. With respect to your very long question about the AQR, for the time being, what you’ve been asked if I understand it correctly, is whether we have significant differences between the expected NPL definition by the EBA and the one which will be used for AQR and our own NPL definitions?
Francesca Tondi – Morgan Stanley: Yes, it's more that EBA, I understand, is going to be used for the AQR, so between that and your own definition, especially on prolongation, forbearance.
Stephan Engels: Yeah, so our NPL definition is largely consistent with the new definition by EBA. We do not expect a significant effect on the reported default portfolio due to the new definitions. Additionally, we would like to point out that the new EBA definition will only be used for reporting purposes. The definitions for regulatory and accounting purposes remain unchanged. And Commerzbank is strictly using the Basel 2 definitions for our NPL classifications, the following events are decisive in determining if a customer defaults. A loan is over 90 days past due, the bank is assisting in the financial rescue, restructuring measures with the customer with or without restructuring contributions, the bank has demanded repayment of its claim or the customer has become insolvent. In addition, the risk management – in the risk management, we follow the Group exposure approach, (German) according to the German law. This means that if there is one non-performing loan to a group of exposure, the overall exposure of the group is included in the default portfolio.
Francesca Tondi – Morgan Stanley: Thank you.
Operator: The next question comes from Anke Reingen, RBC. Please go ahead with your question.
Anke Reingen – RBC: Yeah, thank you very much. I just had two follow-up questions. The first is on the reduction in the non-core assets in the quarter and you said not much is due to FX effects. And I was just wondering apart from the UK sale, obviously, what helped with most of the debt reduction effect of the repayment? And I also wondered have you transferred any exposure already to your ship asset management company. And then secondly, I just wondered on your expected loss deduction within your Basel III fully loaded ratio if you can maybe give us an update. Thank you.
Stephan Engels: You asked for the NCA reduction. As I mentioned before, FX is only a very small number, the rest is a mix of selling off and/or repayments. We have transferred only 3 ships to the ship management unit. The total exposure for the ship management unit is still well below €100 million. So in comparison to total portfolio, it is very small. The good part about this is that it also has a kind of sobering exercise to all the other ship owners because as long as they believe that you as an asset manager can take their ship away and run it on your own means, that helps in many cases in renegotiating certain things. With Basel 3 fully loaded, our guidance is still there that we will achieve the 9% at the year end of 2014.
Anke Reingen – RBC:
– :
Stephan Engels: No, I don’t think we are going to disclose those details.
Anke Reingen – RBC: Okay.
Operator: The next question comes from Dirk Becker with Kepler Cheuvreux. Please go ahead with your question.
Dirk Becker – Kepler Cheuvreux: Yeah, hello, good morning. My first question would be about this significant prepayment fee that you charge. 167 million sounds to me as if this was a big repayment of a really large loan. So I was wondering what was the balance sheet impact of that in Q3 and probably more importantly, what will be the net interest income impact going forward because this loan will no longer produce revenue for you? And then secondly, on your high risk commercial real estate, you now have one position which is called others. And you had that before, but maybe it's important to split off the 1.1 billion in a bit more detail to let us know what is behind that. And then thirdly, everybody is getting very excited about your reduction in the non-core assets, and you want to reduce it by another 35 billion until 2016. I just would be interested what would be the revenue impact of that. Is it fair to assume that the revenue impact of those 35 billion exposure at default would be somewhere between the 300 million and 500 million? Thank you very much.
Stephan Engels: Maybe if I start in reverse order, as I said before, we will give you the new guidance on what the rundown path for NPA will be until 2016 along with our full year result disclosure next year in February. And I’m pretty sure that we then also can put a price tag to the revenue stream and it’s pretty clear that there will be a certain price tag at least to a certain extent. With respect to the significant prepayment, let’s put it this way, yes, it was a sizeable loan, yes there are certain parts in the German industry which are running well and producing strong cash flow and thereby have all clear intentions to prepay certain loans if they think that helps their other goals. The customer as such is still a customer with us and so we haven’t lost him. Nevertheless your basic assumption that some of the money that we see in Q3 will be missing out for the next years in this case is a valid assumption. Sorry, I didn’t get your second question on the others. Maybe you can repeat that.
Dirk Becker – Kepler Cheuvreux: Yeah, you have in your presentation on page 21, where you show the NCA breakdown in higher, medium and lower risk. On commercial real estate, there is one segment which is called others in commercial real estate. So it's Spain, Hungary and others and the others is 1.1 billion. And I was wondering whether you could maybe give a bit of a breakdown what's the biggest component of that. Why is that higher risk?
Stephan Engels: Okay, that is basically countries like the Netherlands, Austria, and other smaller countries as well as Switzerland for example. It is spread, there is no bigger single exposure. It is kind of a sum up position to be honest. It’s bits and pieces.
Dirk Becker – Kepler Cheuvreux: Okay. So no specific risk in there?
Stephan Engels: No.
Dirk Becker – Kepler Cheuvreux: Okay, thank you very much.
Operator: The next question comes from Guillaume Tiberghien from Exane. Please go ahead with your question.
Guillaume Tiberghien – Exane BNP Paribas: Thank you very much. The question relates to the equity tier 1 fully loaded target of 9%. The core bank of Commerzbank roughly makes a little bit more than 40 basis points of capital in five quarters. And so you should be above 9% without any negative contribution from the bad bank or without any contribution at all from the bad bank. If I'm not wrong, I think you planned for the bad bank to be marginally capital positive in the next couple of years. Does it mean that now you want to be -- the bad bank to be roughly just neutral? Thank you.
Stephan Engels: Interesting question with a number of assumptions. Let’s put it this way, yes, NCA always was planned to be capital accretive. On the Investors Day, we – our original assumption was that would start as of 2014. We have seen capital accretion already this year with the roughly 278 million. It is a fact that if we believe the 9% ratio we are fine. I think the question that is out here and that I will probably also leave for the year, let’s call it this way, the year to come whether 9% forever is the right number. So far as I said, we think we will achieve 9% at the end of ’14 for the group and I think it’s pretty clear that as a part of the Group also, the core bank needs to fulfill the Basel 3 ratios over time.
Guillaume Tiberghien – Exane BNP Paribas: Thank you. Maybe just one final question actually is on the NCA and I know there has been a lot of questions, but is it possible that the revenues will turn negative in NCA?
Stephan Engels: Let me put it this way, not in the foreseeable future if I take the next 2, 3 years. Theoretically speaking, everything is possible at the end of the day but that is not necessarily something that we see.
Guillaume Tiberghien – Exane BNP Paribas: Okay, thank you very much.
Operator: The last question comes from Chintan Joshi from Nomura. Please go ahead with your question. Mr. Joshi, your line is open. Hello?
Stephan Engels: Let’s take the next one.
Operator: The next question is from Riccardo Rovere from Mediobanca. Please go ahead with your question.
Riccardo Rovere – Mediobanca: Good morning to everybody. I have one question. Is it possible to have an idea of the overall amount of restructured loans, so the portion that is included in the default portfolio and the portion that is actually still considered performing as the client is paying interest and capital according to the new terms? Just to have a rough idea for the eventually the inflation under the definition of let’s say problematic loans. And as a second question, is it possible to have the net profit, net after tax profit of the core bank in the nine months? Thank you.
Stephan Engels: The second question is easy. There is not net profit for the core bank available since it doesn’t make any real sense. You can obviously take assumptions here. With respect to the restructured loan disclosure, as of the year-end 2012, and that has been disclosed in the annual report and you can look it up again if you want to, as of year-end 2012, the amount of 11.7 billion is restructuring loans and around 60% of the overall NPL book, the exposure was already reduced to 9 billion as of September 2013.
Riccardo Rovere – Mediobanca: But if I may, the 11 billion is just the portion that is included in the default portfolio, right?
Stephan Engels: Yeah.
Riccardo Rovere – Mediobanca: 
– :
Stephan Engels: If I understand you right, you are trying to find the number that matches the latest or the newest version of what the EBA is requiring under the so-called white book forbearance. That hasn’t been disclosed so far, as I’ve said before, we stick to the Basel 2.5 default definitions at least with respect to the disclosed number.
Riccardo Rovere – Mediobanca: Okay, okay.
Stephan Engels: Thank you.
Operator: Thank you for the last question Mr. Rovere. Now I hand over the floor for the closing to Mr. Engels.